William Lundin: Okay, so welcome everyone to the IPC 2024 Year End Update Presentation. My name is William Lundin, I'm the CEO, and along with me is Christophe Nerguararian, the CFO, as well as Rebecca Gordon, our SVP of IR and Corporate Planning. I'll begin with some of the notable highlights achieved in the year, then Christophe will expand on our financial performance. This presentation update will be focused on our 2024 results. Our 2025 forward-looking business plans will be covered later on today during our CMD presentation, and I'd just like to take a moment to acknowledge the backdrop of the picture on this slide which is a recent photo taken from our transformational growth project at the Blackrod asset. The 2024 was a milestone year for IPC with record investment of $442 million and of that $350 million was spent on the transformational Blackrod Phase 1 development. The record capital and decommissioning expenditure was in line with our original CMD guidance of $437 million and significant progress has been made on our Blackrod project which is very much tracking on time and on budget relative to the multi-year guidance set out upon sanctioning of the commercial development in early 2023. Our Q4 and annual production achieved was 74 – 47,400 boes per day, which was in line with the forecast range provided at CMD of 46,000 to 48,000 boes per day. So we have good cost discipline continued within IPC with our operating expenses per unit production rounding out at $18.20 for Q4 and $17 for the full year. The company generated robust cash flow of $342 million in OCF and, when taking into account the full growth CapEx, free cash flow was minus $135 million for the full year 2024. If we were to exclude the growth CapEx spent on the Blackrod Phase 1 project, a positive $216 million in free cash flow was delivered from the base business highlighting the strong cash flow generative ability from our producing assets. As anticipated, our year end net debt Number stands at $209 million at the end of 2024 with gross cash of $247 million. In addition to the cash resources available to the company, IPC has access to CAD180 million undrawn RCF in Canada giving us good liquidity access to continue pursuing value adding activities for all our stakeholders. So we successfully completed our 2023-2024 NCIB by repurchasing and canceling all 8.3 million shares available under that program and we have since renewed the next NCIB program where we can purchase up to 7.5 million shares and we've made great progress on that buyback program thus far. No material, health or environmental incidents were recorded in 2024 and we're on track to achieve our net emissions intensity target reduction by the end of this upcoming year. So it's another year of production being delivered for the company within or ahead of guidance as demonstrated on the production plot here. And this is really thanks to the operational excellence of our teams maintaining high up times at all the assets as well as the accurate forecasting carried out by our reservoir and production engineers. So as telegraph there was a modest production decline from our record production in 2023-2024 largely due to the capital allocation prioritization set out on Blackrod and share buybacks. The sustaining capital expenditure that was spent in 2024 did support company production rates, which included 13 production wells drilled within our Southern Alberta properties as well as tying in sustaining well pairs from Pad L at Onion Lake Thermal. So OpEx per boe averaged $17 for the full year and $18.20 for Q4. Our original guidance at CMD in 2024 was $18 to $19 per boe, which was subsequently revised down to less than $18 in Q3 for the full year, and that was really due to weaker commodity linked input costs such as gas and electricity consumption at our Canadian assets. Looking at the capital expenditure, of course, the lion's share of our capital expenditure was spent on the Blackrod Phase 1 development with significant progress made on all facets of the project such as civil and structural works for the central processing facility, the commercial road and well pad facilities, major advancements were also achieved on the overall engineering, procurement and fabrication as well as on drilling. So other CapEx activity mainly relates to the Southern Alberta drilling as mentioned on the previous slide of which two of those wells were added in Q4 of 2024 which lent to the marginal increase of $5 million from our original Capital Markets Day guidance of $437 million lending to a final spend number in 2024 of $442 million. So at Capital markets day we forecast a range bound year for oil prices between $70 and $90 per barrel Brent, a relatively wide range of OCF was given since no oil benchmark hedges were in place at the beginning of 2024 for us, which you know we expected to generate between $257 million to $376 million in operating cash flow, which really showcases the torque this company has to higher commodity prices when we're unhedged. So following the oil price spike we saw in May of 2024, the company entered into some financial swap or hedges on Brent and WTI for approximately 50% of our respective exposure at $85 Brent and $80 WTI per barrel that tightened our OCF range outlook and we finished the year generating $342 million in OCF in 2024, right in line with our most recent guidance. And for the quarter, for the fourth quarter, we generated just shy of $80 million. Similarly, for free cash flow, the year started with a wider range for 2024 FCF based on the $70 to $90 sensitivity guidance. Full year Brent average was in the middle of our guidance range at $81 per barrel Brent and the base business producing assets generated $216 million in free cash flow, excluding the growth CapEx spent on the Blackrod Phase 1 development, which represents a competitive approximate 15% free cash flow yield. So if we are to include that growth CapEx spent on the Blackrod Phase 1 development, the final free cash flow for 2024 was minus $135 million, right in line with our expectation. Since the launching of IPC in 2017, the company has purchased 72 million shares at an average price of SEK74 per share, or just under CAD10 per share. That's translated into in excess of $490 million in value compared to our share price as of the close of play yesterday. Since January 1, 2022 to current, we've seen an absolute reduction of IPC shares to the tune of 24% through accretive share repurchase and cancellation. So provided we continue trading at a material discount to our underlying intrinsic value and our balance sheet stays strong, we intend to continue buying back our shares through the renewed NCIB program where we can buy up to 7.5 million shares to December 2025, which if successful in completing that program will be near our original shares outstanding position, which we started life in 2017 with 113.5 million shares, as you can see on the left hand side of the slide. And of course we've achieved material increases on our production reserves, cash flow and value metrics and we have a clear runway to further production and cash flow growth beyond those figures upon the transformational Blackrod Phase 1 project coming on stream. This is the final slide of my section for this presentation. I want to give a special shout out to all operation teams and especially the project team at Blackrod for maintaining safe and reliable operations during a major build out. Despite an increase in exposure man hours in 2024 compared to 2023, we saw a 35% reduction in our total recordable incident rate, thanks to the proactive safety measures put in place. Our response to climate action remains unchanged with being on track to progressively achieve a 50% net emissions intensity reduction target come 2025 relative to our 2019 baseline and we intend to hold that reduced net emissions intensity by end 2025 through 2028. Responsible business operations continue with local employment and material jobs growth created from our Greenfield development project. Our fifth sustainability report was issued with our Q2 results which highlights the positive impacts created from our organization, which I highly encourage the audience to review. With that, Christophe, I'll hand it over to you to touch on the financial highlights. Thank you.
Christophe Nerguararian: Thank you very much, Will. Good morning to all. Move on to the financial highlights. And so interestingly, the average production during that quarter -- this quarter at 47,400 barrels of oil equivalent per day is exactly the same level as the full year average production, right in line with our guidance, between 46,000 and 48,000 barrels a day. So during this quarter, very good production, very good performance from all assets and all the teams. The average Brent price was down roughly $5 and sits around $75 on average for this quarter, almost where we are today and the operating costs were slightly higher this quarter based on some higher gas prices, which as you know, gas is an input for Onion Lake thermal operation. So with $18 per barrel of OpEx this quarter and $17 for the full year, that's translated into very strong cash flows for this quarter and the full year. So this quarter, the operating cash flow was just shy of $80 million and EBITDA just above $75 million. I think the important point this quarter is really how much money we were able to spend and so I’m very happy to report that we spent close to $130 million during this quarter, mostly on Blackrod and if you recall at the end of the third quarter we had spent less than three quarters of our projected CapEx for the whole year. So, very happy to report that the activity, especially at Blackrod was very high during that fourth quarter and it's one of these unique situations when we're happy to report a negative free cash flow of 60 million this quarter because that really means and supports our messaging that Blackrod is progressing extremely well on time and on budget. We still have a very strong balance sheet with more than $245 million of cash at the end of the year, translated into a net debt of $208.5 million. As I mentioned, the realized prices in the fourth quarter were a bit weaker, around $5 lower than the previous third quarter. We had more liftings than in the third quarter with two cargoes lifted in Malaysia and one lifting in Aquitaine from the southwest assets in France. And so you can see that we're continuing to sell all Malaysian cargoes at a premium. Very happy to report that we have another lifting this quarter with actually higher premium above $6 per barrel premium, which is an evidence of the quality of our crude there and the relative tightness of the market. Continue to sell our crude on par with Brent in France and interestingly the differential continues to be relatively tight in Canada between -- around $13 per barrel, and that's allowed us to continue to sell our barrels in Canada at a reasonably strong WCS or Western Canada Select price of $57 per barrel. The gas price situation has improved in Alberta, but unfortunately still remains relatively weak for the winter period at below CAD2 per Mcf. It's still twice as much as it was in the third quarter, so it's much better and improved from that perspective, but it remains a fact that the storage levels in Alberta are above the five year average. And you can see that historically, even if this quarter is better and stronger than second and third quarter of 2024, on a historical basis, if you look at this chart since 2021, you can see that gas prices remain relatively weak. Interesting to compare the dynamics of what the quarterly performance was in terms of generation of operating cash flow. If you compare 2023 and 2024, the first two quarters were stronger this year, carried by stronger oil prices, but the second half of 2024 was slightly lower with lower oil prices and lower production, including with the regulatory turnaround we had at Onion Lake where we had to shut in production for two weeks, as you may remember. But so overall fairly stable cash flow generation between 2023 and 2024 at around $350 million for the full year. The operating costs per barrel have been below guidance this year and that's mostly driven by cheaper electricity and gas prices than anticipated. You can see in the fourth quarter around $18 per barrel and that's close to a normal run rate OpEx per boe, I would say, as we guided previously for mid-to-long-term guidance. In terms of netback, very strong netbacks for the overall year. I'll really focus on the full year performance here. So, more than $20 per barrel of oil equivalent for the cash margin or the revenue less the costs, that's translated into between $19.3 million and $19.7 million of EBITDA and operating cash flow netback and those are relatively high level and this is really what allows us to fund the investment in Blackrod and our share buyback to continue to compensate, to actively redistribute money to our shareholders. If you want to reconcile and look at what happened during the year and reconcile our net cash opening position at the beginning of 2024 and our closing net debt position, you can see the $342 million of operating cash flow generated by the business that was just about enough to cover all of our Blackrod investments. Well obviously we had CapEx dedicated to our base business as well, some limited G&A, some limited financial items, 35 million in total and of course 100 million of share buyback because as we mentioned before, we were very happy to be able to complete the total normal course issuer bid where we bought back more than 8 million shares in 2024 and are actively continuing on that trend in 2025. So at the beginning of 2024 we had a net cash position of $58 million and we closed the year with $209 million of net debt. Not much to report on the G&A, which remains very stable and under control at below $1 per barrel of oil equivalent. The finance costs are very stable with the exception of the FX. There's been a small change in accounting reporting here where we are reporting our FX losses. We had a significant FX hedge in place to hedge for part of our Canadian dollar spend on Blackrod. And so we've generated -- we had a $10 million loss because the Canadian dollar was very, very weak and depreciated during the year and especially during the fourth quarter in Canada against the US dollar. So you see this $26 million FX loss in the fourth quarter. 40% is cash and 60% is non cash. The financial results are summarized on this slide. So we generated $800 million of revenues in 2024 for a cash margin of $350 million. The gross profit so before tax was $210 million for the year and our net profit just above $100 million for the year. You see here our balance sheet and as you would expect with the significant spend during the whole year and especially on Blackrod with $350 million dedicated to that Phase 1 project, you see the increased oil and gas assets on the asset side of the balance sheet and a reduction in our cash position in parallel to this investment. The capital structure of our business has not changed much. The bulk of our debt is coming from $450 million of bonds, which are maturing in February 2027. We still have a fully committed, fully available, fully undrawn revolving credit facility with our Canadian banks for up to CAD180 million. The hedges we had in place in 2024 were quite strong, especially in the context of the current oil prices. We were able to hedge around 50% of our Brent exposure at $85, almost $10 higher than where we stand today and above $80 for WTI exposure, again where during the last three quarters of the year we were able to secure around 50% of our exposure at $80 per barrel. And we also had a significant FX exposure whereby we were locking in the costs between 50% and 75% of OpEx spend in local currencies plus some hedging for the Blackrod CapEx. And if you wish the strategy, we'll be talking about 2025 this afternoon during our Capital Markets Day release where we show and share our forecast and budget, I think we just wanted to show here opposition in terms of hedging for 2025. We used the recent spike at the beginning of this year to improve our hedging position and we've had roughly 40% of or a bit more 40% of our WTI exposure above $70 per barrel and same around 40% of our Brent exposure from February to December this year, above $75 per barrel, but obviously it's around $10 lower than last year just because of where the market is trading right now. And you can see as well in terms of FX that we've hedged a significant part of our exposure to local currencies, so more than CAD0.5 billion have been bought at CAD136, so $1 being CAD136. Unfortunately the Canadian dollar is even weaker right now, but it's still historically a good level and that's why we felt comfortable locking in those rates for the budget 2025. So we'll be talking more around those hedges and how they complement, how they fit into our budget for 2025 this afternoon. Thank you very much.
William Lundin: Thanks, Christophe. So to round things out in our 2024 highlights, again here was a record investment year and the company achieved its goals that were set out with respect to the Guidance that we had put out on our capital spend. So we spent $442 million and $351 million of that was on the Blackrod Phase 1 development and good news is the corresponding value of work done was achieved with the lofty amount of money that was spent. Production for the year in 2024 was 47,400 boes per day. That was above our midpoint guidance range which is 46,000 to 48,000 boes per day. Operating costs settled at $17 per boe for 2024. Good commodity prices, good cost control and production translated into $342 million in operating cash flow. And when taking into account the significant capital expenditure inclusive of the growth CapEx undertaken at the Blackrod asset, free cash flow was minus $135 for the year. We have a robust balance sheet with net debt of just under $210 million in gross cash available of $247 million. Continue to have a strong sustainability focus, very pleased with no material HS&E incidents throughout the year and we're continuing to remain on track on our net emissions intensity reduction target. And on the share repurchase front, 2023-2024 Normal Course Issuer Bid fully exercised and completed in the year. We renewed the next NCIB program in December of 2024 where we can buy 7.5 million shares by the end of December in 2025 and we are well on track to continue buying back our shares under that program. So with that, that concludes our update presentation for our year end results and happy to open the floor up to take questions.
A - Rebecca Gordon: Thanks Will. Well we've got a lot of compliments on the quarter but actually everyone is interested in 2025 and on. So what I might do is hold these questions on Blackrod start date on spending profiles and on gas and M&A opportunities for this afternoon and I promise everyone that has sent questions in that I will ask them this afternoon but it is forward -- very much forward looking questions here.
William Lundin: Okay.
Rebecca Gordon: So I think we can probably close that out.
William Lundin: Okay, great.
Rebecca Gordon: Well no, it's all forward.
William Lundin: It's all forward looking. Everyone's interested in 2025
Rebecca Gordon: Everyone's interested in 2025 and on, yeah.
William Lundin: It's a very bright outlook for the company and we're going to expand in quite some detail later on today at our Capital Markets Day presentation. So sit tight until then and we look forward to engaging with everyone at that point in time later today to update our forward looking plans for the company. So thanks again and we will chat later on.
Rebecca Gordon: Thanks everyone.
Christophe Nerguararian: Thank you.